Operator: Greetings, and welcome to Genesis Energy Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Dwayne Morley, Vice President, Investor Relations. Thank you. You may begin.
Dwayne Morley: Good morning, and welcome to the 2024 fourth quarter conference call for Genesis Energy, L.P. Genesis Energy has four business segments. Offshore Pipeline Transportation segment is engaged in providing the critical infrastructure to move oil produced from the long-lived world reservoirs in the deepwater Gulf of America to onshore refining centers. The soda and sulfur services segment includes Trona and Trona-based exploring, mining, processing, producing, marketing, and selling activities as well as the processing of sour gas streams to remove sulfur at refining operations. Onshore facilities and transportation segment is engaged in the transportation, handling, blending, storage, and supply of energy products including crude oil and refined products. The marine transportation segment is engaged in the maritime transportation of primarily refined petroleum products. Genesis's operations are primarily located within Wyoming, the Gulf Coast states, and the Gulf of America. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933, and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings periods and exchange commission. We also encourage you to visit our website at genesisenergy.com. A copy of the press release we issued this morning is located. Press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I'd like to introduce Grant Sims, CEO of Genesis Energy, L.P. Mr. Sims will be joined by Kristen Jesselaitis, Chief Financial Officer and Chief Legal Officer, Ryan Sims, President and Chief Commercial Officer, and Louis Nicholl, Chief Accounting Officer.
Grant Sims: Thanks, Dwayne. Good morning to everyone, and thank you for listening to the call. As we mentioned in our earnings release this morning, we are now just a few short months away from reaching the inflection point when we will complete our current major capital spending program, be a short time away from a notable step change in realized segment margin, and most importantly, be in position to generate cash from operations in excess of the cash costs we're running and sustaining our businesses. Needless to say, this moment has been a long time coming and while we've had a few hiccups along the way, we remain on schedule. I get more and more encouraged with the long-term prospects of Genesis as each day passes. Instead of dwelling on what could have been in 2024, I'd rather focus my comments here today on what lies ahead for the remainder of 2025 and beyond. We remain encouraged with what is in front of us and are confident we are well-positioned to deliver meaningful sequential earnings growth over 2024 driven primarily by midyear startup of our new contracted offshore volumes and strong structural tailwinds in our marine segment. Even if we see static performance from our other two segments this year relative to last. Our offshore segment is expected to see significant growth of offshore volumes to segment margins associated with our two new contracted developments, Shenandoah and Salamanca. They remain on schedule, with first production from both developments expected in the second quarter. Based on recent conversations with both operators, we could see volumes from each development ramp very quickly to, if not above, their originally expected high cases. When combined with the eventual reception of the volumes from the fields that were negatively impacted last year, which we're now told should occur over the next several months.
Ryan Sims: Should be positioned to deliver upwards of 20+% sequential growth in our offshore pipeline transportation segment in 2025. Our marine transportation segment is again expected to deliver record results in 2025, driven in large part by more days on the water, as they say, for our offshore fleet rather than 2024, and steady to increasing day rates across all classes of our vessels. The macro story in marine remains constructive. We see reasonably steady demand, at the same time, we continue to see net supply reductions in the market, driven by the limited number of new barges being constructed while more and more older barges are being retired. We believe these structural indicators will persist in marine for quite some time and should support steady to marginally improving financial performance from our Marine Transportation segment throughout 2025. As we sit here today, we expect the challenging macro conditions in the soda ash market we saw in the back half of last year to persist into 2025, at least in the early part of the year. The combination of a well-supplied market and a mixed demand picture outside China is expected to keep a lid on soda ash prices, especially in our export market. While current prices are undoubtedly below the cash cost of high-cost synthetic, particularly in China, we expect the market continues to need a combination of further supply rationalizations and a resumption of historical demand growth to ultimately help prices recover.
Grant Sims: I'll give a little more color later in my prepared remarks, but we are encouraged that these necessary supply reductions are starting to occur. And they will no doubt help tighten the market as we move through this year and into next. Given this market backdrop, however, and despite an improving operating performance and implementing certain cost savings initiatives, we expect the segment margin from our soda ash business to be at or near what we generated in 2024. Kind of a sideways year. Until we get to 2026, when we would otherwise expect prices to recover and more closely reflect at least the cash cost of the marginal suppliers. Similarly, we expect our legacy refinery services business in our onshore facility transportation segment also performed in line with their performance last year. While we would rather see all of our businesses hitting on all cylinders first, our path forward remains crystal clear. Even with this anticipated sideways action year over year in a couple of segments, in 2025, we will begin to harvest accelerating amounts of cash above and beyond the cash cost to operate and sustain our business we will use to strengthen and simplify our capital structure. We are committed to not pursuing any capital-intensive projects for the foreseeable future. We expect to use this excess cash flow to pay down debt in absolute terms, opportunistically redeem or retire our high-cost convertible preferred, both of which will lower the cash costs of running and sustaining our business, and look to return increasing amounts of capital to our unitholders in one form or another. All while managing our bank-calculated leverage ratio to our long-term target. We remain confident that the path we are on will allow us in the years ahead to deliver long-term value to everyone in the capital structure. With that, I'll touch briefly on our individual business segments. As mentioned in our earnings release, several of our producer customers continue to experience mechanical issues that are affecting multiple fields that are connected to our offshore infrastructure. We can now report that three out of the total of only 21 available deepwater rigs working in the Gulf of America are now actively working on restoring production from these affected wells. We are told by the operators that such remedial intervention activities should be completed over the next several months. As we have mentioned in the past, the effective producers and operators continue to reiterate they expect no long-term negative impacts to the underlying reservoir. And they fully expect volumes to return to levels consistent with what they were producing prior to the mechanical issues cropping up. More importantly, our offshore construction projects are expected to be totally complete in the next few months. Our team is preparing to start the final stages of construction, which will primarily lift the sink pipeline off the seafloor and connect it to the Shenandoah plugging production system once it is installed at its final location. The Shenandoah FPU set sail from South Korea in mid-December and recently arrived in Ingleside, Texas, thus completing the 18,000-mile journey in less than two months. After completing its final outfitting and safety checks, it is expected to move to its final location in advance of first production in the second quarter. Similarly, the Salamanca production facility is also nearing completion. In fact, I visited the Salamanca FPU earlier this week for its christening, and can confirm it is very close to being complete. There's really quite a sight to see. I'm confident the Salamanca FPU will long be a great case study of the benefits of repurposing existing offshore platforms to serve as a new production facility that will likely last for many more decades to come. The carbon footprint of the refurbished facility is estimated to be some 70% less than a new build. It's cheaper than a new build. And importantly, accelerated the date of first production by some 12+ months. The Salamanca FPU will be heading sail from South Texas to its final location in the Gulf of America in the very near future. And remains on schedule for first production in the middle of the year. We continue to believe these two new standalone production facilities and their combined almost 200,000 barrels of oil per day of incremental production handling will ramp very quickly and will likely reach their anticipated production levels by the end of the year, if not significantly sooner. In both cases, the operators continue to anticipate producing at rates materially higher than our take-or-pay levels, or perhaps even higher than their original high-end internal expectations when they sanctioned the projects. As we have mentioned in the past, these two new floating production facilities are also expected to serve as host platforms for additional future subsea developments or tieback opportunities which could sustain or increase these cash flows to us for years and years into the future. In addition to the monument field, which is a sanctioned subsea tieback to the Shenandoah FPU, that is expected to start production in the fourth quarter of 2026, Beacon announced the operator announced in December that it's sanctioned the next phase of development at Shenandoah known as Shenandoah Phase Two. Activities associated with this phase two include the drilling and completion of two additional wells in the Shenandoah field. Beacon estimates that the activities from Shenandoah Phase Two will be conducted between 2025 and 2028 and will add approximately 110 million barrels of oil equivalent PPG reserves. Additionally, Beacon and its partners are advancing plans to facilitate the development of the Shenandoah South discovery located in Walker Ridge, 95 and water depth ranging from 5,800 to 6,000 feet. The built proximity to the Shenandoah FPU will enable a cost-effective subsea tieback development to be accomplished by three miles of borderline and dedicated riser connection to the Shenandoah FPU. Shenandoah South is expected to include the drilling and completion of two wells. With initial production from the first well expected to occur in the second quarter of 2028. Beacon estimates a total of 74 million barrels of oil equivalent of P50 reserves for Shenandoah South. While Beacon and its partners have not yet made their final investment decision on the Shenandoah South project, it is yet another example of the multitude of opportunities that exist once a new floating production unit is installed and connected to our offshore infrastructure. When taken together, the Shenandoah, Shenandoah Phase Two, Monument, and Shenandoah South developments are estimated to be able to produce nearly 600 million barrels of oil equivalent P50 reserves. With 100% of the oil production dedicated to our new sink lateral and expanded CHOPS pipeline, truly a remarkable opportunity set for the next decade around this one new asset connected to our offshore infrastructure. Turning now to our soda and sulfur services segment. I'm pleased to report that the operating issues we experienced at our West Vaco production facility in 2024 are now behind us. And our Grainger facility has recently been performing at or above its design capacity. Our team is constantly looking for opportunities to optimize our operating performance, and I'm confident these efforts will contribute towards more steady production levels moving forward. As we mentioned last quarter, and in response to current market conditions, we have also recently made a concerted effort to focus on the cost side of our business. As a result of these efforts, our team has identified numerous opportunities and we have since started to implement several initiatives to reduce our fixed and marginal operating costs in the business. We continue to believe that the combination of improved operating performance, and a lower overall cost structure will allow us to meaningfully benefit when the broader market fundamentals improve, which they will. And they always do. As mentioned in our release, the global soda ash market remains relatively consistent with last quarter. With global demand being mixed, and most markets remaining well supplied. Furthermore, inventories in China and the availability of exports therefrom remain elevated for recent loads. In the short term, the market needs more high-cost and environmentally inferior synthetic production to come out of the market. Having said that, we have recently started to see some synthetic supply be shuttered with the last remaining synthetic soda ash production facility in the United Kingdom ceasing operations at the end of just last month, January. Reducing global supply by approximately 220,000 tons per year. Late last year, another producer announced it was reducing production by approximately 300,000 tons per year from its synthetic production facility in Spain. And just yesterday, a different synthetic producer announced it was suspending production from a 700,000-ton-a-year facility in Poland. In discussing such a decision, it also stated it would be forced to consider additional production cuts at other facilities it operates in the EU if market conditions don't soon improve. As more and more of this high-cost synthetic supply is taken offline, we would expect to move closer to a more balanced market where soda ash prices could improve. Everything else being the same, we would reasonably expect marginal improvement in prices as we progress through 2025. But almost certainly based on historical market behavior and the supply rationalization, we are beginning to see certainly in 2026 and beyond. Regardless of when these events occur, we are confident as one of the world's lowest-cost producers that the steps we are taking in our operations and on the cost side will allow us to meaningfully benefit from any such recovery of soda ash prices in the future. Our marine transportation segment performed in line with our expectations as the broader market conditions remain constructive. And we operated with utilization rates at or near 100% of practical available capacity for all classes of our Jones Act vessels. We continue to see reasonably steady demand for all classes of our vessels. At the same time, there has been limited, if not realistically, zero net additions to the market. As older vessels continue to be retired and a limited number of new barges have been built, this market dynamic doesn't turn around quickly. To conclude, we could not be more excited about 2025 and beyond. And remain fully committed to reaching that special inflection point in just a few months where we stop spending growth capital and start harvesting significant and growing cash flows, in excess of the cash costs of running and sustaining our business. Along those lines and based upon what we know today, we believe adjusted EBITDA in 2025 will be around $700 million and in 2026 even if there is no meaningful improvement in our soda ash business. Could be around $800 million. If there is a recovery in soda ash prices in 2026, which as I mentioned earlier could reasonably be expected based on historical market behavior and shutting down of high-cost synthetic production, that number could turn out to be conservative. The cash cost of running and sustaining our business currently is $600 million to $625 million per year. As we use the excess cash flow we will begin generating later this year and accelerate in 2026 and beyond as we use it to pay down debt and periodically redeem high-cost preferred, that cash cost of running and sustaining the business will decrease. That will give us even more flexibility to pay off even more debt, redeem even more preferred securities, and return even more capital to our unitholders in one form or another, all while managing our bank-calculated leverage ratio to our long-term target. Finally, I'd like to say that the management team and the board of directors remain steadfast in our commitment to building long-term value for all our stakeholders. Regardless of where you are in the capital structure. We believe the decisions we are making reflect this commitment and our confidence in Genesis moving forward. I'd once again like to recognize our entire workforce for their individual efforts and unwavering commitment to safe, and responsible operations. I'm extremely proud to be associated with each and every one. With that, I'll turn it back to the moderator for questions.
Operator: Thank you. At this time, we'll be conducting a question and answer session. Our first question comes from Michael Blum with Wells Fargo. Please proceed with your question.
Michael Blum: Thank you. Good morning. So wanted to ask about the offshore producers that continue to have challenges. Can you maybe bracket like, the outer bounds of outcomes in 2025? So, for example, if this production stays offline for all of 2025, how much cash flow are you sort of forgoing? And then if it came on, let's say, in the second quarter of this year, how much incremental cash flow would you realize for the year?
Grant Sims: At this point, we are baking into the guidance that we just gave basically what the producers are telling us with us taking a little bit of liberty to build in some cushion in the event that it slides to the right a little bit. I'm not sure that we have ever classified it but so you know, it's in I mean, I think order of magnitude is between $5 million and $10 million assuming that all of it was off, but we are seeing some of it has already been rectified and some of it is within a week or so of coming back at least according to the operator. So Michael, I mean, we don't really as we sit here today, we don't see a scenario where this is a lasting issue throughout 2025.
Michael Blum: Okay. Perfect. That's super helpful. And then on the 2026 EBITDA forecast of $800 million. Does that assume a continued improvement in the marine business or does that assume more of like a flat outlook relative to 2025?
Grant Sims: I would consider it to yes, it's reasonably flat. I mean, so in the world where we're generating kind of no. While there could be more upside in that, that's kind of you know, we're just kind of penciling that in to be reasonably flat '26 relative to what we expected in '25.
Michael Blum: Right. Got it. Thank you so much.
Operator: Our next question comes from Wade Suki with Capital One. Please proceed with your question.
Wade Suki: Good morning, everyone. Thank you for taking my questions. For some capital allocation, just quick, I'm wondering if you could remind us how the banks are looking at the press just sort of in the context of your capital return priorities. How the banks are looking at? Yes, exactly in terms of lending.
Grant Sims: Yes. Our banks, which are obviously insiders and have read all of the agreements, they treat they give it a 100% equity treatment in the calculation of our compliance with them. That's not necessarily how rating agencies and others necessarily look at it. They'd have spent as much time as the inside banks have to make that determination. So yeah. For us to rapidly, you know, we can't really or not intent on levering up to take it out because it has a double whammy, if you will, about converting equity into debt in one respect. So you know, I think it's fair to say that our intent is to really use the excess cash flow. We're not prohibited from in fact, we have some flexibility under our senior secured credit facilities to harvest it. And so as we continue to get closer to our long-term target of four turns on the bank-calculated leverage ratio, we will have the ability in future periods to potentially take it out at a more rapid pace because we have the flexibility under our covenants, but so no. So we have the ability to deal with it and but it is given a 100% equity treatment, which is appropriate treatment from our perspective.
Wade Suki: Great. Thank you. And just as we approach the sort of free cash flow inflection point later this year, can you help us in terms of how to think about the timing and maybe even order of magnitude of potential distribution increases?
Grant Sims: I think that the Board will evaluate that at the appropriate time. Again, I think that as we discussed that my view, but obviously, the board needs to weigh in on it is that it's likely, you know, use of capital is or capital allocation is going to be kind of a little all of the above. But in what's absolute and or relative uses of that. I can't speak at this point. Speak to at this point.
Wade Suki: Understood. Appreciate that. If I could please a multipart question and one more just on soda ash. Grant, you always give us a really good color on sort of supply demand. Would you mind maybe touching on how the contracting season went? Where you are on that front and then maybe talk a little bit about some of the end market demand you're seeing or the weaker areas are and areas of resilience as well? Thank you very much.
Grant Sims: Yeah. No. I mean, it's contracting season went about as expected. I mean, obviously, in the environment of being in a well-supplied market, there was where we had caps and collars and we typically would price towards the lower end of that range. But we are purposely under the belief that or under yeah. Our belief that the prices are gonna rise as we go through 2025, especially as I said. I mean, we've seen a reduction of almost 4% of the total supply outs have helped significantly balance the market. We went short term as much as we could and didn't lock in low prices so that we will benefit prices increase throughout this year. And then as we get into if we continue to see a demand recovery and especially additional removal of high-priced synthetic production from the market and we believe this macro fundamentals will improve and that when we go into 2026 recontracting that will be in a significantly different environment than what we were in late 2024 approaching 2025 contracts season.
Wade Suki: Thank you. Appreciate it. Thank you again. Bye.
Operator: We have reached the end of the question and answer session. I'd now like to turn the call back over to management for closing comments.
Grant Sims: Again, thanks everybody for listening in and we'll talk to you in another 90 days if not sooner. So thanks again.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.